Operator: Greetings and welcome to the PROS Holdings, Full Year and Fourth Quarter 2019 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder this conference is being recorded. I would now like to turn the conference call over to your host, Shannon Tatz, Vice President of Investor Relations.
Shannon Tatz: Thank you, operator. Good afternoon, everyone, and thank you for joining us. Our earnings press release, SEC filings and a replay of today’s call can be found on the Investor Relations section of our website at pros.com. With me on today’s call is Andres Reiner, President and Chief Executive Officer; and Stefan Schulz, Chief Financial Officer. Please note that some of the commentary today will include forward-looking statements including without limitation those about our strategy future business prospects and market opportunity and our financial projections. Actual results could differ materially from such statements and our current forecast. For more information, please refer to the risk factors described in our SEC filings. PROS assumes no obligation to update any forward-looking statements to reflect future events or circumstances. As a reminder, during the call we will discuss non-GAAP metrics. Reconciliations between non-GAAP measures and the most directly comparable GAAP measures to the extent available without unreasonable effort are available in our earnings press release. With that, I’ll turn the call over to you, Andres.
Andres Reiner: Thank you, Shannon, good afternoon everyone and thank you for joining us on today's call. As I reflect on 2019, I'm incredibly proud of what we've accomplished. Last year we grew subscription revenue by 48% and also achieved a 48% subscription revenue CAGR for the past four years. At the core of our ability to grow at this strong and sustained rate are our people and incredible culture that we've created together. So I'd like to start by sharing a little bit more about our team. I'll cover innovation and market adoption highlights before transitioning to our 2020 strategy. Our people are owners, innovators and care tremendously about our customers, their communities and each other. Every day I'm humbled to work with such passionate, dedicated and talented team. Last year I had the honor of watching our team thrive as we had a record number of promotions and record-low employee attrition as a cloud company. As we grow, we want to continue to be intentional in supporting our people realize their full potential. One way we're accomplishing this is by providing our people leaders, a leadership development program in partnership with the Jones Graduate School of Business at Rice University. In 2019, over 200 of our leaders had the opportunity to strengthen their leadership skills and dive deeper into our strategy and values. This program is helping us increase global alignment and positioning our team to lead the future growth and scale of our company. Fostering a culture of learning is incredibly important to us. So we plan to continue to invest in learning and development in 2020 and beyond, so we can help our people be widely successful. As we focus on continuing to champion our people and culture, I'm excited to share that we promoted Nikki Brewer to lead our global people strategy as Chief People Officer. Nikki joined PROS in 2017 and has been instrumental in shaping our employer brand and total rewards program. I'm thrilled to have her leading our efforts to continue to grow, develop and support our team in her new role. Now I'll transition to share some of our innovation highlights from last year. Innovation is in our DNA. Last year our team delivered more than 100 product releases and over 400 features in our platform to help our customers drive even more value. An excellent example of the new innovation was the launch of our next-generation Smart CPQ. In this next-generation solution we help our customers deliver an even better buying experience. This solution was designed to handle massive scale so that our enterprise customers can deliver quotes with tens of thousands of line items with subsecond response times. This industry-leading capability is helping some of the most well-known companies on the planet provide the fast and frictionless digital buying experience needed to lead in their markets. One new customer who selected our Smart CPQ solution to take advantage of these new capabilities is Airbus. Airbus partnered with PROS last quarter to enable their helicopter manufacturing division to configure helicopters across thousands of build options and ancillary services with speed and precision. Key to Airbus' decision to select PROS was our ability to help their sellers personalize a high-value, highly technical solution for their customers and ultimately deliver a winning digital sales experience. Our innovations are leading customers like Airbus to realize value with our solutions, which is helping us grow our business and extend our reach. Last year we processed approximately 1.7 trillion transactions in our cloud, which is more than a 50% increase year-over-year. We also delivered over 11 billion real-time price calculations to power e-commerce. And our customers created over one million quotes with our Smart CPQ. This is truly explosive growth, and an outcome of the success we're having in leading companies through their digital selling transformations. We're seeing a strong growth of both new customer adoption and existing customers' expansions on our platform. So I'd like to share just two examples of how we're working together with our customers. Last quarter, Emirates, a PROS customer for more than 25 years chose to move to the cloud to adopt our latest AI innovations. Emirates has built a reputation on delivering a best-in-class travel experience, and they plan to leverage our next-generation revenue management solution to more accurately predict customer demand patterns and deliver real-time prices across channels. Emirates, is one of many customers that were inspired by our latest innovations to move to the cloud. And I'm pleased to share that we drove a record migration quarters in Q4, and also beat our total migrations target for 2019. Last year, we welcomed many new customers to the PROS family. Another example of a new customer that chose to partner with us last quarter is Harbor Foods Group. Core to their strategy is obsessing about their customers and delivering an industry-leading customer experience. With our AI-powered solutions their foodservice team plans to further exceed their customers' expectations by delivering personalized prices and offers. We're excited to partner with them as they look to further differentiate and disrupt their industry. These are great examples of the impact that we're having on our customers' business. This year, we remain committed to delivering on our mission of helping people and companies outperform by leading companies in their digital selling transformations. We plan to accomplish this by focusing on four strategic pillars: leading AI innovation, accelerating market adoption and customer expansions, delivering an incredible customer experience, and helping our people to learn and grow. I'll close by sharing a few of our plans in each of these areas. In 2020, we're focused on bringing our AI innovations to market even faster. Our team is innovating on ways to continuously release their latest algorithms onto our platform so that our customers can benefit from even more frequent updates towards industry-leading pricing and selling AI. To accelerate market adoption and customer expansions, we're focused on increasing our brand awareness. We want to be bolder in telling our story and sharing our customers' amazing successes. As we grow our global customer base, we're focused on delivering a consistent and exceptional customer experience to help drive best-in-class adoption. Under the leadership of our Chief Customer Officer, John Allessio, we're creating a global practices team to help us be more prescriptive and get our customers to value even faster. Finally, we'll continue to support our people with leading-edge technology to foster global collaboration. We're also extending our learning and development initiatives to help our people thrive. We entered this year passionate about executing to our strategy and further realizing our vision of being the AI platform powering commerce in the digital economy. We're excited by our market opportunity and our plan is to deliver another record year in 2020. Thank you to our global team for making PROS an incredible place, and thank you to our customers, partners and shareholders for your support of PROS. With that, I'd like to turn the call over to Stefan to cover financial performance and outlook.
Stefan Schulz: Thank you, Andres. We delivered another strong quarter with total revenue growth of 26% over last year. The strength of our fourth quarter also helped us eclipse $250 million in total revenue for the year, representing a 27% increase over last year. And as Andres mentioned, our team delivered a record migrations quarter, which contributed to our strong revenue performance. Before transitioning into our fourth quarter performance, I'm pleased to share that we have promoted Scott Cook to Chief Accounting Officer. Scott has been with PROS for over 20 years and will continue to serve as our Corporate Controller leading our global revenue and corporate accounting teams as well as our financial reporting team. Now moving to our fourth quarter results, subscription revenue and services revenue drove our total revenue growth over last year with growth rates of 42% and 52% respectively. Recurring revenue represented 81% of our total revenue in the fourth quarter. The recurring portion of our deferred revenue was $124 million at the end of the year up 24% over last year. And our trailing 12-month calculated recurring billings were also up 24%, a significant improvement sequentially over the 15% growth rate in the third quarter, and slightly higher than we anticipated. Our 2019 annual recurring revenue or ARR was $220.4 million on a constant currency basis, up 16% year-over-year. Our ARR benefited from strong bookings performance in 2019, but a portion of this benefit was offset by a small increase in customer churn. We track churn on a gross dollar basis which means we do not offset gross churn with cross-sell or upsell activities. Using this method, we have historically experienced gross renewal rates in the mid-90s. In 2019, we did see our gross revenue retention rate declined slightly to just over 93% which impacted our ARR growth rate by a couple of percentage points. Going forward we believe that our gross revenue retention rates will be in the 93% to 94% range which we believe are still best-in-class. Now, moving on to profitability. Our full year non-GAAP subscription gross margins improved to 73%, a six percentage point improvement year-over-year as our engineering team continued building efficiency in our products during 2019. For example, we processed 50% more transactions in the year, while using less incremental compute resources. We are also gaining leverage in our global infrastructure as our business continues to grow. Our strong subscription gross margins helped us to achieve our long-term recurring gross margin target. Our full year non-GAAP total gross margins declined slightly year-over-year due to lower services margins in the second half of 2019. Our services gross margins were below our expectations for the fourth quarter. While lessening the use of third-party resources in the fourth quarter, we utilized partners at a higher level than anticipated in order to maintain consistency with customer deliveries. We expect our services margins to improve to the mid to high single-digit rates in 2020. Our fourth quarter adjusted EBITDA loss was $4.6 million. Cost of services was the primary driver for this larger than expected adjusted EBITDA loss. Our full year EBITDA loss was $13.2 million, representing a $5.9 million improvement year-over-year. Our fourth quarter free cash flow was $11 million which resulted in a full year free cash flow burn of just under $900,000. From a balance sheet perspective, we ended the year with a cash and investments balance of $306.1 million. In addition we continued to build our total deferred revenue position to $142.3 million, which was up 21% over 2018. Overall, we are pleased with our financial results and believe that we are well-positioned to continue to grow our business in 2020. Now, turning to guidance, I will start with the first quarter and then move to the full year. We expect total revenue in the first quarter to be in the range of $65.5 million to $66 million, up 17% year-over-year at the midpoint, largely driven by strong subscription revenue. We expect subscription revenue to be in the range of $40.5 million to $41 million, up 34% year-over-year at the midpoint. We expect our adjusted EBITDA loss for the first quarter to be in the range of $11.5 million to $12 million and with an estimated non-GAAP tax rate of 22% in the first quarter, we anticipate a non-GAAP loss per share between $0.22 and $0.23 based on an estimated 43.1 million basic shares outstanding. Our first quarter expenses are typically much higher sequentially due to payroll taxes and company kickoff activities. This trend, combined with our higher services cost, is causing our first quarter EBITDA estimate to be lower than last year. We anticipate EBITDA to improve throughout the year as we lower our reliance on partner resources on our projects and pay lower payroll taxes in future quarters. And now for the full year guidance, we estimate total revenue for 2020 to be between $288.5 million and $290.5 million, a 16% increase over 2019 at the midpoint, driven primarily by subscription revenue growth. We expect services revenue to grow in 2020 but at a lower rate than 2019 and we anticipate a services growth rate of approximately 10%. We expect subscription revenue for the full year to be between $193 million and $194 million, representing a growth rate of 37% over 2019 at the midpoint. We expect our maintenance revenue to decline in the low 20s rate as we continue to move our customers to the cloud and drive more subscription revenues. We also expect ARR to be between $257 million and $259 million, representing a growth rate of 17% to 18%. Our growth rate in ARR is expected to increase in 2020. And we are planning to increase our quota-carrying personnel for new business by approximately 15% to support this growth for 2020 and beyond. We have broken out our quota-carrying personnel for new business in the business metrics sheet on our website. Now, moving on to profitability, we expect to burn between $3 million and $5 million in free cash flow for 2020. Please keep in mind that Q1 is seasonally our highest spend quarter due to payroll taxes, bonus payments, and annual company events. We expect the free cash flow burn in the first quarter to be substantially higher year-over-year due to higher commission and bonus payout rates resulting from our 2019 outperformance. But as in past years, we anticipate improved free cash flows throughout the rest of the year. And finally, we anticipate a 2020 adjusted EBITDA loss of $11.6 million to $13.6 million, which represents a slight improvement year-over-year at the midpoint. As we move into 2020, we are expecting to continue with the heightened level of investments in our business, that we started in the last two quarters of 2019. As a result of these investments, we are anticipating an improvement to our ARR growth rate this year. Overall, we are very pleased with our fourth quarter and full year performance. I echo Andres's comments about our incredible global team and would like to thank them for delivering on our mission of helping people, and companies outperform last year. Thanks to their efforts, we accelerated our growth in 2019, and are well positioned to deliver a strong 2020. To learn more about our team and culture, I invite you to review our inaugural corporate social responsibility report, which is available on our website. We enter 2020 confident that we are incredibly well positioned to achieve our long-term growth goals. And we remain committed to creating value for our customers and shareholders. We are grateful for your support of PROS. And we look forward to seeing you at our events in this quarter. With that, let me turn the call back to the operator for questions, Operator?
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Tom Roderick of Stifel. Please proceed with your question.
Tom Roderick: Yeah. Hi everybody. Good afternoon. Thanks for taking my questions. So, Andres, let me just start with you. And bear with me here just kind of going through a little bit on the quarter.  But certainly some cross-currents in terms of some great successes the deferred revenues, the calculated bookings, the trailing 12-month bookings, subscription everything's sort of pointing up and to the right. And you got some of the metrics you're kind of looking into next year, not necessarily showing acceleration. Maybe cash flows are a little lighter than what we are modeling. So it feels like the stories are largely on track with the exception of perhaps some of the installed bases moving a little slower. But what I was hoping you could do for us is, perhaps break apart the business as you think about airline, as you think about B2B. And give us a sense as to which pieces of the business do you feel most strongly about. And in which pieces of the business do you feel like there's an opportunity to push on a lever, whether it's pushing that installed base, a little bit harder throwing more services resources at them. Talk through some of those cross-currents, as we look at some of these metrics, and how they impact the year 2020. Thanks.
Andres Reiner: Yeah. Tom, I'll start with I think the Q4 and the full year, at the end was a very, very strong year for us. I was very pleased on how we ended strong. We started with a record quarter last year and ended with a record quarter. So overall, I would say extremely proud of the team in how we executed. Areas where we saw, a lot of strength I would say our CPQ solution was a particular area that we saw a lot of strength during the year. And in general, we did a lot better at selling multi-product deals, so not just launching with CPQ, but with our full platform. The other area that we saw good strength especially in the back half of the year, including in the fourth quarter was migrations. We knew migrations were an important part. And we continue to see having -- Emirates' migration to the cloud was a huge success for us a 25-year relationship, amazing customer for a long-time. And having them adopt our latest-generation RM solutions is a huge win. So I would tell you overall, I couldn't be more pleased with the results. As we look at guidance going into the year I would say our philosophy and guidance hasn't changed. I think it's still early in the year. And we always tend to guide in a similar way. If you go look back at last year and how we guided, we used the same philosophy. I mean, we're looking at overall what view do we have over the next few quarters. And making our guidance based on that. So the philosophy is not changing. What I would tell you from a pipeline, our pipeline is growing faster. Our coverage ratios are better this year, than last year. So, I would say we feel pretty bullish about the year. But we're guiding based on what we have confidence at this point in time.
Tom Roderick: Excellent, okay and I guess I'd be remiss, if I didn't address a hot topic in the news here. With a global pandemic in airline travel near term is down. I know this is way too early to probably have a pulse on what your customers are thinking. And I'm sure it wouldn't impact their software purchases. But you've been around long enough to see, this sort of thing from time-to-time. What's your experience with how your airline customers will react to a situation like this? Is there any history that says hey maybe there's. A, little bit of a pause on spending but then it kicks back up? Or are these things pretty quick to resolve themselves. And you wouldn't expect to see any impact?
Andres Reiner: Yeah. So I've been in PROS a long time. I was here when SARS happened. And I saw that experience. I would tell you look, when we see this what we want to do is as we have incredible partnerships for decades support our airline customers, as they're looking at their demand pattern. And it's changing helping them minimize revenue impact from it. So I would say we're -- we tend to over steer on the customer success side, in how we support them, than being overly aggressive on trying to get them to close new opportunities. That being the case I would say, look we expect based on how we're guiding that travel will probably ramp a little bit slower this year, but I wouldn't expect a major impact from revenue. It's more of us being understanding and supportive of them through a difficult time for them. But overall historically, we haven't seen a big revenue impact.
Tom Roderick: Outstanding. That’s good to hear. Thank you for the detail. Thanks for the – for all the information on the fourth quarter. Thank you.
Andres Reiner: Thanks.
Operator: Our next question comes from the line of Scott Berg of Needham & Company. Please proceed with your question.
Josh Reilly: Hey guys. This is Josh on for Scott. Congrats on the strong quarter. So just starting off the assumption for maintenance revenue decline in 2020 is well above our prior expectation. What's the driver behind this increase? Is it better visibility on your guys' part? Or is the strategy beginning with forcing a shift? Or any other color on that.
Stefan Schulz: Yeah. So this is Stefan, Josh. And what -- one of the things that we saw in the fourth quarter and I'd say even towards the end of 2019 was we started to see our migration strategy become more and more successful and Andres commented on that with one particular case with Emirates. And we expect to continue to see that type of progression as we go into 2020. And it's -- that has a significant impact on our maintenance revenue as we migrate customers off of the legacy solutions onto our next-generation cloud products. So that's really the primary driver. We're not really seeing a significant change beyond what we've already commented on from a retention rate perspective. It's primarily the big change primarily coming from migrations.
Josh Reilly: Okay, great. And then I believe ARR for the year came in at the low end of the guidance range. I think it was $220 million to $222. Could we get some more color on the uptick in churn there? Is that just a few customers? Or is there something broader there driving that? And then is there anything that the new Chief Customer Officer will be doing to make changes in that area?
Andres Reiner: Yeah, no. So first and foremost I think, look we're extremely passionate about customer success. And I would say that no churn to us is acceptable. That being the case, the 93.3% retained churn rate is still best-in-class. And I would tell you where we did see churn, it tends to be legacy platform in single-use -- single product use cases. That being the case, John and our full customer success organization, one area that we're really focused is making sure we have way more dedicated resources, 100% dedicated in customer success, so that we can touch all of our customers and ensure that not only they're driving adoption, but value as well and expansion, which I believe are programs in place will help ensure that we maintain this rate, so no area for concern for us. I think with a lot of how we're executing, we expect these rates to be in the 93%, 94% range mid-90s and we're pretty confident.
Josh Reilly: Okay, great. Thanks guys.
Andres Reiner: Thank you.
Operator: The next question comes from the line of Jason Celino of Keybank Capital Markets. Please proceed with your question.
Jason Celino: Hey, guys, thanks for taking my question. One around, kind of, the new breakout on the quota-carrying reps. Is this breakout a reflection of any change in go to market or focus?
Andres Reiner: Yeah, no not really on a go to market but more on a focus. What I would tell you is historically we had our direct sales focus on all new bookings and our customer success focus on renewals. That's remaining. But historically our customer success NPS used to be one organization and our customer delivery managers and our customer success managers used to be one. Over the last year as we brought in Jill Sawatzky to lead customer success, we built a whole new organization where all customer success managers now spend 100% of their time in customer success. And we're migrating these roles and making them more pure. We expect this year that PS-oriented CDMs that were playing a customer success role to be all migrated to pure CSM roles. And, therefore, we're giving you a bit more transparency in the breakout between new booking business reps and renewals. The area from a renewal perspective, we believe we're in a great place. We built out a team that can handle the scale that we need. And we're giving you visibility to the new team for the sales side and the growth that we're driving in that, which is going to be about 15% growth on the new sales quota-carrying personnel, which is a little bit below what we had last year, but an area that we feel very confident with as we continue to drive productivity improvements in the sales force.
Jason Celino: Great. And then one update on adding more SI partners to help with the consulting workload. I mean, how are -- how is that ramp going?
Andres Reiner: Yeah. So we've been working very well with our SI partners EY and others in ramping up their teams. I would tell you that the percent of projects where an implementation partner is involved used to be -- well we talked about the 30% range. Now it's closer to the higher 30% range, so that has increased quite a bit. Also the number of projects where they're involved separate from us and expanding on their own is starting to ramp up. So we see good progress on the partner ecosystem as well. This -- the number of partner-sourced opportunities and partner-involved wins in 2019 was another record year was an area that we saw very good success as well.
Jason Celino: Great. Thanks. I'll go back in queue.
Andres Reiner: Great. Thanks.
Operator: Next set of questions come from the line of Robert Simmons of RBC Capital Markets. Please proceed with your question.
Robert Simmons: Hey, great. Thanks for taking my questions. I was wondering how exactly are migrations to the cloud accounted for in your retention rate? If there is revenue uplift, is that considered 100%? Or how do you handle those?
Stefan Schulz: What we've talked about in the past Robert is that think of our migrations representing call it a 2x to 3x multiplier where you take the maintenance base that the customer was paying for the on-prem solution and you multiply that times 2x to 3x that would be the average uptake that we would get from a subscription standpoint. We've -- as to -- and we ourselves have modeled more like a 2x multiplier because as you might expect depending on the product and depending on the nature of the migration, the multiplier can be different not all -- not one size fits all so to speak. But that's how to think about it. There's about a 2x multiplier from the old maintenance space that the customer was paying to the new subscription base that they will be paying going forward.
Robert Simmons: Right. And but then what I'm wondering is how do you account for that in that 93%? Is that due -- accounts for the uplift or no?
Andres Reiner: No.
Stefan Schulz: Oh. So no. No, you're talking about as it relates to the churn.
Robert Simmons: Yes.
Stefan Schulz: Yes or the renewal rates I should say. Yes, that is not factored into the renewal rates at all. So a migration is not considered part of a churn event or affects our renewal rates at all.
Robert Simmons: Got it. Great. Thank you.
Stefan Schulz: Yeah.
Operator: Our next set of questions come from the line of Chad Bennett of Craig-Hallum. Please proceed with your question.
Chad Bennett: Great. Thanks for taking my questions. So Andres, maybe on the sales front, I think you talked about 15% growth in new business-related quota carriers. If you look at just kind of the revenue and specifically the SaaS performance this year per rep from a productivity standpoint, it improved pretty dramatically in 2019 on a per rep basis. How should we think about your SaaS revenue growth expectations of just under 40% this year of -- is the mix any different in your mind from a net new person contribution standpoint versus productivity of the base? Or how do you think about that to get to where you need to see that to your...
Andres Reiner: No, that's a great question. So the way that we think about it, if you look at our guide for subscription growth in the 30% -- high 30% range, we feel that with the quota-carrying personnel that we have today, we can achieve those numbers. And if you look at this 15% increase that we're adding, it's really going to help slightly in the back half of the year, but mostly it's going to help for 2021. And if you look at last year, we increased that -- the new business quota-carrying reps by 19%, while we achieved much bigger from a subscription growth. So overall, I think one of the areas that we've continued to have focus over the last four-plus years is ensuring that as we're ramping up reps that we're also improving productivity. So one thing that I will caution is even though quota-carrying personnel is growing up 15% roughly -- and it may be a little bit different during the year, we may ramp up a little bit more, but think of that 15%. We're also investing pretty aggressively in marketing and enablement. Part of the focus for us I talked about really going a bit bolder in getting our brand recognition out. So as a leadership team we made strategic decisions to invest a lot in our marketing, branding and enablement and training to scale our organization. And this is an area that we feel is not only going to help drive more demand, but also help drive productivity improvement and ensure that we're making our team more successful.
Chad Bennett: Okay, great. I appreciate the color there. And maybe one for Stefan. Stefan so the -- if the maintenance decline is more than maybe we're thinking heading into the end of the year or the fourth quarter -- remind me again, you talked about low-20s now in terms of decline. I think we were roughly 10% maybe 10% to 12% before so wouldn't -- and I get there's timing in terms of revenue where I can -- so wouldn't our SaaS or cloud revenue growth rate actually go up from what we previously thought?
Stefan Schulz: Yes. So, Chad, what happens in this -- as we've seen more migrations and more success about that program, that's where a lot of our sales team focus will occur and we saw that in Q4 as well. So, for example, we talk about a 50-50 mix of new business bookings to existing bookings. And what we saw towards the end of last year is, we saw that mix shift a little bit, like, just say, maybe around 60-40, where 60% would be existing and 40% would be to new. We expect to see that continue. So, think of it this way, a lot of the existing sales that we would have been doing, so cross-sell, upsell to existing customers, now going to be taken in the form of migrations. We still believe we're going to see quite a bit of new activity. But the sales rep activity is also going to be focused on migration. So, think of it in that type of a light, that it's going to replace some of the existing business.
Andres Reiner: And one other thing that I will add, Chad, where a traditional deal, let's say, a net new deal is signed for x amount of ARR, it tends to start on day one and it starts recognizing on day one. It's typical that in a migration, there's a slight delay, because customers are already paying for maintenance and paying on top of that for full subscription over that migration period, is something that is more difficult. So you can see a slight delay on the revenue when you do a migration short term, but, obviously, for great success long-term on both sides.
Chad Bennett: Actually, that's a good point, Andres. And then maybe last one, real quick, if I could fit it in. Just following up on the prior question on EMEA. If I look, EMEA performed pretty well this quarter, but -- maybe it's just kind of a tough comp. But first three quarters, it was growing year-over-year significantly. Just, did EMEA, I guess, come in at plan for you during the quarter? And then, can you just generally talk about the demand environment if that's changed within EMEA and what -- maybe what your expectations are for that region this year? Thank you much.
Andres Reiner: Yes. No, that's a great question. So I would tell you, EMEA, especially in the back half of the year ended fairly strong. And as we look at this year, we continue to see good strength in EMEA, especially looking at Q1 and early in the year. We don't have as much visibility at the back half of the year. But as we look at the front half, we continue to see good momentum out of EMEA. So, I would say, yes, on the back half we had very good performance from EMEA and continue to see as we look at Q1, so far things are good. I talked about Airbus Helicopters in my prepared remarks. That was one of our EMEA team's great win. Prior quarter, I talked about Henkel, for example. Those are just two examples that we talked about Q3 and Q4 that actually came out of EMEA, which were great wins. So -- 
Chad Bennett: Thank you.
Andres Reiner: Thanks.
Operator: Our next set of questions come from the line of Jackson Ader of JPMorgan. Please proceed with your question.
Jackson Ader: Thanks. Thanks for taking the questions guys. First one, for Stefan. How should we think about the continued relationship of the trailing 12-month's billings number versus ARR growth? It looks like that delta actually widened this year relative to the last couple of years.
Stefan Schulz: Yes. Yes, Jackson. That's true. And we expect that relationship to not necessarily be as -- that close, mainly because they're both trying to get to the same thing, but they're going about it very different ways, where, as you know, when we calculate ARR, we're taking the contract at its beginning and then we're setting it in stone and then counting it forever in the ARR number, even though, it may have actually changed for the contract, like, for example, as customer increases their usage, increases the scope. So there're some inherent flaws in the way we calculate it or the way it's calculated, I should say. And then, similarly on calculated billings, we've talked in the past how like, for example, in Q3, when we had a disappointing growth rate, knowing that we had some timing challenges that we knew were going to be made up in Q4, where then you have the strong 24%. We spent a lot of time looking at that over the course of this past quarter, really digging into what all those differences are. And what we found was, both of them are generally pointing you in the right direction. And the truth of the matter is the answer is somewhere in the middle. So I think in terms of the high teens to 20% is probably the right range for what's really happening from a booking growth perspective and recurring revenue perspective. It's just the two metrics that we're utilizing, albeit, in a very consistent way, are giving us two ends of that range.
Jackson Ader: Okay. That makes sense. And then, just a quick follow-up and I apologize if I just missed it. But the quota-carrying personnel for new business, are they -- I guess, who is responsible for the migration? Is this the non-new business? Or is a migration considered technically net new business and so that would fall to those quota-carrying reps?
Andres Reiner: That's still done by the new business reps. So they handle all expansion. The only areas that they don't handle is renewals.
Jackson Ader: Yeah. Okay. That is all I had. Thank you. 
Andres Reiner: Great. 
Operator: Next set of questions come from the line of Joe Goodwin of JMP Securities. Please proceed with your question.
Joe Goodwin: Yes. Thank you so much for taking my question. Just a quick one. Can you give us an update on just the competitive dynamics on the CPQ side of the business?
Andres Reiner: Yes. So I would say from a competitive perspective no major change. I would say if anything, we continue to strengthen our solutions, especially in the large enterprise market. We talked about our launch of our latest-generation Smart CPQ where we now support agreement capabilities so more or less not just the spot deals, but when you're entering into a long-term agreement being able to model and create those long-term agreements as well as performance quoting that now supports tens of thousands of quotes. So I would say from an environment no major changes. From a competitive perspective, we feel in the large enterprise we feel we're driving more differentiation.
Joe Goodwin: Great. Thank you. 
Operator: Our final question comes from the line of Tyler Wood of Northland Securities. Please proceed with your question.
Tyler Wood: Thanks for taking my question. One more going back to the migration. You mentioned the uptick in Q4. Was there any particular vertical or customer type that drove that? Or are they kind of pretty evenly spread across the customer base? And then going into 2020 more broadly is there any patterns you're seeing emerging in who's migrating and who's migrating sooner versus who's going to wait it out?
Andres Reiner: No, real patterns yet. I would say that in many scenarios, we're seeing both on the travel we continue to see good migrations last year. And we talked about several of them through the year not just Emirates in Q4, but Korean Air and others that we migrated during the year. We -- also on the B2B side we talked about Honeywell, Airgas and others that we migrated through the year. So overall, what I would tell you is usually what we're seeing is when they're migrating they're also using opportunities to expand whether it be to new products or new regions new geographies as well or new use cases. But overall, we're seeing -- across the board and some like you've seen we've seen some customers that have been with us 25 years like Emirates that are migrating and some that are more recent customers of ours in the last 10 years that are migrating. So no real specific segment, frankly.
Tyler Wood: All right. Thanks. Congrats on the good year.
Andres Reiner: Thank you. 
Operator: Ladies and gentlemen, we have reached the end of the question-and-answer session. I would like to turn the call back to Shannon Tatz for closing remarks.
Shannon Tatz: Thank you for listening to today's call. We look forward to speaking with you at conferences and events in the quarter. We will be attending the JMP Securities Technology Conference on February 24 in San Francisco and the Morgan Stanley TMT conference on March 3 in San Francisco as well. We will also be marketing with Keybank in New York and Boston on February 11 and 12. If you have any questions following today's call please contact us at ir@pros.com. Thank you and goodbye.